Operator: Good day and welcome to the USA Compression Partners Second Quarter Earnings Call. Today’s call is being recorded. At this time, I would like to turn the conference over to Mr. Greg Holloway, Vice President, General Counsel and Secretary. Please go ahead sir.
J. Gregory Holloway: Well thank you Casandra. Good morning everybody and thanks for joining us. This morning, we released our financial results for the quarter ended June 30, 2015. You can find our earnings release, as well as a recording of this conference, in the Investor Relations section of our website at usacpartners.com. The recording will be available through August 16 of this year. During this call, our management will discuss certain non-GAAP measures. You will find definitions and a reconciliation of these measures to GAAP measures in the earnings release. As a reminder, our conference call will include forward-looking statements. These statements include projections and expectations of our performance, and represent our current beliefs. Actual results may differ materially. Please review the statements of risk included in this morning’s release and in our latest filings with the SEC. Please note that information provided on this call speaks only to management’s views as of today, August 5, and may no longer be accurate at the time of a replay. I’ll now turn the call over to Eric Long, President and Chief Executive Officer of USA Compression.
Eric D. Long: Thank you, Greg, and good morning everyone. Also with me is Matt Liuzzi, our CFO. The second quarter was another strong quarter for USA Compression, as we continued to execute our growth plan while maintaining operational and capital discipline. We have been very pleased with our performance in the current market, and our results today speak to the dedication and competencies of our employees across all the regions in which USA Compression operates. With the first half of the year behind us, we are continuing to see the stabilityof our fee-based income-driven compression services business, which our financial results for the quarter clearly illustrate. You probably also noticed in the release this morning that we are revising our full-year guidance upward. As we’ve told you in the past, as we gained additional clarity, we would seek to provide further information and revision as appropriate. This revision reflects our strong performance in the first half of the year, the continued stability of our cash flows and what we see coming for the back half of the year. Matt will discuss the revised guidance a little bit later in the call. This confidence in our outlook is further evidenced by our recent increase in the distribution, which I’ll touch on momentarily. I’ll now spend some time on what we see driving the strength in our contract compression markets. While crude oil and natural gas liquids continue to dominate the headlines, domestic natural gas activity continues to move forward and demand continues to grow, as it has over the long-term. Without compression, the market demand for natural gas simply cannot be satisfied. The continued investment in natural gas infrastructure throughout the country bodes well for the ongoing growth and profitability of our business. While there is some general uncertainty out there, we think it is relatively short-term in nature and what people often overlook is the larger natural gas demand picture and what that means for compression demand, and consequently, USA Compression. While the recent volatility in commodity prices has affected, and will continue to impact, the aggregate amount of infrastructure projects being undertaken, customers throughout our regions are continuing to embark on projects that have sound economics and structure. We’ve even seen larger, strategic moves: a few weeks ago, MPLX, Marathon’s crude oil refined products MLP, agreed to acquire Markwest Energy Partners, a leading natural gas gatherer and processor in the Northeast. We think announcements such as this, as well as the numerous projects being undertaken by our customers; underscore the long-term strategic importance of the natural gas infrastructure in this country. I will now cover some of the financial highlights and then speak a little more about the marketplace and what we’re seeing out there. For the second quarter, USA Compression reported record Adjusted EBITDA of $38.6 million and Adjusted DCF of $31.0 million. In late July, we announced a cash distribution to our unitholders of $0.52.5 per LP unit, which results in anadjusted distributable cash flow coverage ratio of 1.23 times, which continues our trend of improvement on this metric over the past several quarters. Leverage stood at 4.9 times at quarter-end, which you’ll note is essentially unchanged from Q1 levels. During the quarter, we spent approximately $60 million in expansion capital, primarily focused in West Texas and the Northeast region. Combined with the first quarter, we’ve spent over $170 million in expansion capital during the first six months of 2015, the majority of which was for large horsepower compression units. As we’ve discussed previously, we deliberately front-end loaded our spending this year to better line up with the visibility we had entering the year. We have also pushed out delivery of approximately $30 million of large horsepower units from the end of this year to Q1 2016 to better coincide with the requirements of our customers. While we have taken actions to better time delivery of our more expensive, larger horsepower units, we’ve also recently made the decision to order additional small horsepower units for delivery in the second half of the year, based on specific customer indications. Based on our revised estimate of $225 to $245 million in CapEx for the full year, we’ve already spent almost three-quarters of our capital for the year. With a large portion of our CapEx spent, we are continuing to evaluate the need for additional compression units in the back half of the year to meet specific customer indications. Over the last 12 months, we have been ordering larger and larger compression units. In Q2, the average size of the large horsepower units we took delivery of was over 1,600 horsepower. Consistent with past quarters, this new equipment is being deployed in areas of continued growth the Utica & Marcellus Shales in the Northeast, the Permian and Delaware Basins in West Texas as well as our Mid-Continent region. We recently set the largest compression unit in our history, a Caterpillar 3616 engine that drives a large Ariel compressor withover 4,700 horsepower for a midstream customer in the Northeast. We are routinely deploying other large Cat 3608 and 3612 driven units and we believe USA Compression is one of the few third-party operators who have the people, experience, capability and wherewithal to operate and maintain these large horsepower units, and that allows USA Compression to differentiate itself in the marketplace. To address the natural gas market, in a nutshell, we continue to like themacro natural gas picture and believe it bodes well for compression. With crude oil stealing all the headlines, natural gas production has been quietly and methodically plodding along, with the EIA expecting anincrease of almost 4 Bcf a day, or approximately 6%, in 2015. Production from shales continues to represent a growing portion of total domestic production, and the re-emergence of high-volume dry gas wells has made up for a lot of the lost volumes ofassociated gas from oil wells or high BTU rich gas wells. Very recently, EQT Corporation announced its first dry gas Utica well had an initial IP rate of almost 73 million cubic feet of gas per day, significantly higher than any in the area. Likewise, others are seeing very attractive results in that area. We have customers with core acreage holdings, who can still generate attractive returns in the current commodity environment, and as such, are continuing to promulgate and even increase their drilling programs. A number of the bigger players in our regions have made upbeat statements about their plans for the next few quarters, which support our view that the rest of year, barring a deeper collapse in energy prices, should continue to see an uptick in activity and additional demand for compression. As we’ve seen, operators in the energy sector have quickly adjusted to changes in the absolute commodity price levels, and we expect that this will continue to take place. While activity levels will vary by geography and operator, the vast majority of our demand is not affected by short-term knee-jerk commodity price movements, but rather longer, full-cycle investment horizons. To cite a few examples, in the Northeast, our largest customer, Southwestern Energy, is actively working their newly acquired Chesapeake acreage, completing wells ahead of time and working on executing some of the longest laterals in the region. Early well results in Southwest Appalachia are very encouraging; Southwestern is also moving to ensure firm transportation capacity and expects to have 80% of estimated production in the next few years covered by firm transportation agreements. Southwestern believes their production could approach 2 Bcf perday by the end of the decade from this area. Range Resources, in their recent earnings commentary, indicated plans to add an additional 19 wells in the second half of the year, with an aim to grow production 20% year-over-year in 2016. For Southwestern, Range and other producers, takeaway capacity out of the region is key, and on that front, we are seeing multiple major expansion projects continue to move forward. Mariner East should come online in the second half of the year, providing some much-needed takeaway capacity, and Energy Transfer’s 3.25 Bcf a day Rover Pipeline, Kinder Morgan’s Northeast Energy Direct pipeline and the reversal of the REX pipelinecontinue to move forward, with the potential to add nearly 20 Bcf a day of additional take away capacity from the Northeast over the next 24 months. This combination of production increases and efficiencies as well as the required infrastructure to move it is what we are seeing on the near-term horizon that we expect to keep the demand for our services growing. In West Texas, producers in the Permian and Delaware Basins continue to expand their footprints. Companies like EOG Resources, Energen Corporation, Concho Resources, Pioneer Natural Resourcesand others are focusing on their core acreage, adding new drilling locations and partnering with midstream providers to move the gas to market. As we have seen over recent quarters, the stronger operators continue to benefit from meaningful efficiency gains on existing wells. For example, Concho recently increased its production guidance to 25% year-over-year as they anticipate lease-operating expenses to trend down in the back half of the year. This dynamic is one that we are seeing with many of our customers, even at current commodity prices, because of their management of operating costs; continuing production is still economic for them. The midstream build-out in West Texas is still in the early stages, and we are dedicating substantial resources to serve customers in that area. Overall, the tone of our customer dialogue has continued to improve throughout the year, and their confidence appears to have increased over the past quarter, providing USA Compression with indications that they plan to continue to grow their businesses in the back half of 2015 and into 2016, which means we expect to continue to grow our business. This underpins our decision to increase our full-year guidance. From a macro perspective, we also see supply and demand close to being in equilibrium. The EIA continues to revise its natural gas demand projections upward, now expecting 76.5 Bcf a day in 2015, a 4% increase over 2014. The predicted rise in near to mid-term U.S. natural gas demand, coming from the continued infrastructure build-out in various supply basins, de-bottlenecking of the Marcellus Utica supply area, increased pipeline exports to Mexico, commencement of large-scale LNG exports, and continued coal-to-gas switching. We expect will result in continueddemand in coming quarters for our infrastructure-oriented compression equipment. The construction of four major Gulf Coast facilities and one East Coast LNG export facility which together represent nearly 9 Bcf a day of export capacity continues, and are all expected to be in service in 2018, with some LNG exports possible as soon as the end of this year. To reiterate what I’ve said before, we don’t need natural gas production and demand to grow at astronomical rates of growth. The EIA projects production growth of 6% and 2% in 2015 and 2016, respectively, with most of the growth expected to come from the Marcellus Shale where we have built a strong market presence. If, as expected, overall domestic gas demand goes up incrementally, domestic producers primarily in the shale plays - will continue to produce in order to meet that demand, and the midstream operators will continue to invest in the infrastructure and the associated compression needed to transport, process and deliver that gas to the end user. Switching to the crude side of things, while it is hard to say things have stabilized, the second quarter saw continued economicnew drilling and development. The new drilling activity isn’t expected to be enough to offset the rollover in areas like the Bakken and the Eagle Ford; the EIA projects production declines through early 2016, then moderate production increases, not returning to present levels until late2016. There has been a lot of discussion regarding the fact that we saw first half 2015 oil production tick higher than Q4 2014 production despite a 60% decline in total oil rig count since late 2014, but as production rolls over and the fraclog of drilled but uncompleted wells works off, we expect that market to tighten. As we have discussed, oil prices remain high enough for some of the financially stronger companies to support continued development drilling activity in the core areas of many of the tight plays, including the Eagle Ford Shale and Permian and Delaware Basins. Upstream operators with lower drilling and debt-service costs who operate in the sweet spots are expected to continue to drill productive wells in 2015. The resiliency we saw in our smaller horsepower gas lift-oriented units during the first quarter continued through the second quarter. The rate at which we deployed new units during the quarter remained robust, due in part to customers increasing the rig counts. In addition, the outlook continues to be positive, as customers are publicly discussing plans to put additional rigs to work in the second half of the year. This is primarily taking place in economically advantaged areas like the Permian and Delaware Basins, the SCOOP and STACK plays, and other basins or plays where producers have the infrastructure and the resources in place. Continued increases in rig and well productivity as well as falling drilling and completion costs will also help lead to rig count increases and resumption of onshore production growth. I mentioned Concho earlier and how operating cost declines are allowing them to increase production guidance. This phenomenon is not exclusive to Concho; in fact, many of our customers are experiencing similar trends.Our customers are staying active, as I mentioned previously, we expect to take delivery of additional gas-lift equipment to meet continued customer demand for just the back half of this year. So, to summarize the second quarter and second half marketplace for USA Compression, we continue to see natural gas demand increasing at rates similar to historical levels. This demand, which includes growing exportsto Mexico as well as coming exports of LNG, continues to drivethe domestic natural gas supplywhich in turn requires our compression services. During the second quarter, we continued to deploy units on attractive contract terms, while also strategically investing in certain assets that we believe will give us a competitive advantage in the marketplace. Our utilization for the quarter averaged 90.5%. During Q2, more than 80% of our expansion capital went to purchase large horsepower compression units, the types of which are generally speaking, in short supply in the market. You may recall, we usually place orders based on customer demand, and coordinate the unit delivery with customer timing. In this past quarter, we went ahead and ordered a few extra of these large horsepower units, because our view of the market is that there will be demand for this type of unit in the back half of the year, and we will have them in stock for customers. Through the first two quarters, we’ve taken delivery of about 140,000 horsepower. We’ve already committed 75% of that horsepower, which number doesn’t include the strategic purchase of some very large horsepower units I just mentioned. So through the first half of the year, we’re almost three-quarters of the way through our estimated capital spend for the year. By front-end loading the CapEx, we have spent a good portion of what we’ll spend for the year, but we maintain significant flexibility in the second half of the year to continue our focus on unit deployment and rapidly meeting customer needs as they arise. So to summarize, Q2 continued the great start to the year we had in Q1, and the stability of our fee-based income, infrastructure oriented business modelcontinues to beevident. We will continue to execute operationally to keep our existing assets out in the field working and we are well positioned to meet new demand from customers. Our fleet utilization and margins remain strong, leverage and coverage continue to improve, new contracting activity for both gas-lift and midstream applications is encouraging, and the churn of our existing fleet and demand signals for the back half of the year are consistent with expectations, all of which support our revision of full year guidance upward. We believe strongly that operational excellence and high levels of customer service are the keys tosuccess in this business; we demonstrated in Q2 that our strategy continues to deliver, with the hard work of all of our employees across the country. We continue to be bullish on the long-term outlook for natural gas; we expect the global marketplace and domestic drivers of the natural gas market to keep things busy for our business in the near-term as well as in the long-term, as natural gas continues its transition into the fuel of choice for the future. Our customers have demonstrated their ability to react to a volatile commodity price environment, and we are there alongside them no matter which direction the price goes. Now with that, I’ll turn it over to Matt to walk you through the details of our operational and financial performance.
Matthew C. Liuzzi: Thanks, Eric. Good morning everyone. As Eric mentioned, today we reported recordlevels of revenue, adjusted EBITDA and adjusted distributable cash flow for the second quarter of 2015. In addition to a strong quarter in our base business, we continued to invest in the business and grow our compression fleet to be prepared to meet demand from our customers. We spent about $60 million in growth CapEx for the quarter, down from Q1’s total. As Eric mentioned, through Q2, we’ve spent almost three-quarter of the expected total growth capital for the entire year; and as we’ve discussed, we have purposely front-end loaded a lot of our spending. This investment allowed us to add approximately 50,000 horsepower of new compression units to our fleetduring the quarter, ending the quarterwith over 1.6 million total fleet horsepower. Our revenue generating horsepower increased to just over 1.4 million horsepower. During the quarter, we took an impairment charge of approximately $27 million related to certain units in our fleet. This non-cash charge, which involved approximately 58,000 horsepower, resulted from our evaluation of the future deployment potential of currently idle units under present market conditions. This marks the first time in the history of the company that we’ve taken a charge such as this; when you consider that we’ve been in business for 17 years, the impact is minimal: representingless than 4% of our total fleet horsepower and working out to less than 3,500 horsepower per year. The average age of the units being impaired is over 14 years; this compares to an average age of our fleet of approximately 3.5 years. Turning to the financial performance for the secondquarter, revenue increased 25% compared to the second quarter of 2014, primarily driven by an increase in ourcontract operations revenues as a result of adding revenue generating horsepower.Thisincrease in our revenue was driven almost exclusively by the organic growth in our revenue generating horsepower. Average revenue per revenue generating horsepowerper month increased over 2% to $15.83 for the second quarter, as compared to $15.48 for the second quarter of 2014. Adjusted EBITDA increased approximately 44% to $38.6 million in the second quarter as compared to $26.9 million for the second quarter of 2014. Adjusted distributable cash flow in the quarter was $31.0 million as compared to $19.9 million for the same period last year, an increase of 56%. On an absolute basis, gross operating margin for the quarter increased 34% to $47.3 million as compared to $35.3 million for the same period last year. The gross operating margin, as apercentage of revenue, increasedfrom 66.2% in the second quarter of 2014 to 71.3% in thesecond quarter this year, due primarily to lower prices related to lubrication fluids, motor fuel and optimization of maintenance activities. Maintenance capital totaled $3.1 million in the quarter. Expansion capital expenditures, which wereprimarily used to purchase new compression units, were approximately $60.0 million for the quarter. Cash interest expense, net was $4.0 million. On July 23, 2015, we announced a cash distribution of $0.525 per unit on our common and subordinated units, which represents an approximate 5% increase year-over-year. This is the ninth consecutive increase to our distribution since our IPO in January 2013, and corresponds to an annualized distribution rate of $2.10 per unit. Adjusted distributable cash flow coverage for the second quarter is 1.23 times. As we’ve mentioned, we have continued to work hard to balance growth, leverage and distribution coverage. Outstanding borrowings under our revolving credit facility as of June 30 were $753 million, resulting in a leverage ratio of 4.9 times on a trailing three-month annualized basis. This was essentially unchanged from Q1 levels. As it regards our full-year 2015 guidance, at this point in the year, we are revising upward the ranges we provided earlier this year. This reflects the strong first half of the year, as well as what we see for the back half of 2015. We currently expect Adjusted EBITDA for the year of $135 million to $145 million and adjusted DCF of $100 million to $110 million. At the midpoint, these ranges represent increases of 4% and 8%, respectively, over our previous guidance. Finally, we expect to file our Form 10-Q with the Securities and Exchange Commission as early as later this afternoon. With that, we will open the call to questions.
Operator: [Operator Instructions] And we will take our first question from T.J. Schultz of RBC Capital.
Unidentified Analyst: Hey, guys this is [indiscernible] filling in for T.J. Good morning and congratulation on the solid quarter.
Eric D. Long: Good morning and thank you.
Unidentified Analyst: I had a quick question just regarding your revenue per horsepower per month basically I mean how is pricing holding for your new horsepower deliveries, I mean like the average revenue per horsepower per month is holding strong due to roll off of lower rate legacy contracts or because of strong rates for your new deliveries?
Eric D. Long: Good question and this is Eric, I would categorize it as a combination of things. First our industry is basically running at capacity, we do not have an excess horsepower, USA compression or frankly with our peer groups. So in the environment where we are coming into where there is some focus on capital efficiencies, we're frankly seeing high grading of opportunities and we've actually been able to push through some nominal rate increases with some select customers. Secondly we are also seeing a mix of different types of equipment, large horsepower tends to have a different operating margin in a different revenue profile, dollars per horsepower then some intermediate type of equipment. And then it’s the same situation with our gas-lift, so we are focusing on deploying equipment in the most profitable components of our marketplace and since there is not a plethora or excess of equipment in the industry, we think that it bodes well for stability of pricing.
Unidentified Analyst: And has that - the reason why we are seeing margins kind of upwards because of other large weight towards your larger horsepower unit?
Matthew C. Liuzzi: That is part of it and obviously the horsepower that we are adding as a percent of the total fleet is not meaningful for any given quarter, but most of the margin improvement is coming from lubrication savings, optimization of maintenance activities and things like that that we believe are sustainable into the future, not necessarily tied to temporary price dynamics.
Unidentified Analyst: Okay. Great, another question I have was I see you have 215,000 horsepower deliveries for 2015, 140,000 you have already taken delivery of, I know you guys said 75% of that has been contracted of the 70,000 - of the 75,000 expected to be delivered in the second half or any of those contracted?
Eric D. Long: The portion in the rest of the year most of the stuff that’s going to be delivered has not been contracted and that is consistent with how we and really the industry operates in terms of you basically contract them as we get closer to actual delivery of the units. We mentioned in the call that there were some units that we took delivery of, these are very large horsepower units that we took delivery of in the second quarter that were not contracted. And so we expect deploy those kind of in the normal course of business here in the back half of the year for customers, but we thought there was value to basically having those more or less on the shelf for when customers call.
Unidentified Analyst: Okay. And in regards to M&A are you also looking actively opportunities in M&A market, I mean just kind of given your current cost of capital is that still option and what is the compression asset that regecny now wrapped into energy transfers, is there any chance those assets hit the market?
Eric D. Long: Well, as you know we historically have not commented on potential M&A opportunities, I think it’s fair to say that we’re always looking in for opportunities in the marketplace, but as we’ve articulated in the past, our core focus has always been to grow our fleet organically and to focus on operational excellence and delivering high quality compression services to our core complementive customers.
Unidentified Analyst: All right. That’s it from me. Thank you.
Eric D. Long: Thank you.
Operator: And we’ll go next to [Andrew Bird] (Ph) of JP Morgan.
Unidentified Analyst: Hey, good morning and congratulations on another strong quarter.
Eric D. Long: Thanks Andrew.
Unidentified Analyst: So I guess the first question is with a strong first half, I think especially if you annualize it and seemingly strong exit rates and resilient pricing, looking at guidance, it almost seems a bit conservative, can you just give little insight and how you approach that figure and what the kind of implied deceleration in the second half is driven by?
Matthew C. Liuzzi: Sure, Andy, it’s Matt. I think going back to February when we initially released our initial guidance for the year, the comment we made was that with more clarity throughout the year, that we would look to be able to increase and give more information on full-year guidance and certainly we’re sitting here kind of through with the first half of the year and we’re very pleased with where the first six months have landed. And so I thought it was prudent to move things up a little bit. That said, there is still some general uncertainty out there industry wide and so we thought the right move was to look at where we’ve been, see what we see out there for the back half of year and move it up at a prudent amount. Obviously, consistent we would like to be able to give you more information, three months from now in the next earnings call depending on where things go between now and then. But there is not, it’s not that we’re forecasting a decline, it’s we just need more clarity before we can give you better numbers.
Unidentified Analyst: Great. That’s helpful. Yes. Definitely better, estimate that way than the opposite. I guess next question is kind of more for Eric, I mean, this commodity downturn isn’t your first at USA Compression you’ve seen this before but it is the first downturn since the company has come public. Can you comment how if at all you’re managing business differently this time as a public company versus a private company and if there is kind of anything we should be looking for when we’re comparing periods-to-periods that might not standout.
Eric D. Long: Andy, that’s a really good question. We would like to say that from the formation of USA Compression back in 1998, we have run and managed the company as if we were a public company. We’ve got the same Auditor we’ve had for 17 years, we’ve got the same business philosophy we’ve had for 17 years and we really have not altered our business practice. Unlike the drilling and stimulations sector the true OFS component, which is highly volatile, tied to commodity pricing, we’re very much tied to the demand for natural gas. We’re working with customers who have very large acreage positions; very large infrastructure requirements as we touched on earlier the kneejerk reaction to kind of the rapid whips on in commodity environments a lot of the folks that we’re working with are frankly kind of agnostic to that. So we’ve always said that USA Compression is a story of stability and growth. We’ve tamped down the growth rate a little bit from last year but as you can see from our CapEx spend and our horsepower additions we are continuing to grow. So this is to me kind of the ideal way to manage our business through cycle like this, we focus on the stability we moderate our growth a little bit, continue to provide operational excellence for our client customers, we’re really not altering our business practice. We’re just moderating a little bit the growth rate and we’ll power through the next few quarters on things and as we come out of the tunnel on the backend, it will be a bright daylight on the other side.
Unidentified Analyst: Great. And I think if I remember some of your previous comments, big headwinds during the last downturn was over capacity in the space. In your prepared comments today, you indicated that’s no longer the case. So again, if we’re looking period-over-period, I guess the question is, you don’t foresee a necessarily at this point getting worse than last time from the utilization and pricing perspective given that that over capacity situation is no longer prevalent, is that fair?
Eric D. Long: You categorize that very accurately.
Unidentified Analyst: Okay great. And then last couple of question just focusing on the Marcellus, you may gave some good color on Southwestern and their plans there, obviously Southwestern’s very longer relationship for you guys throughout your footprint, but given that there is somewhat new to some of the acreage in the Marcellus is that business that they’re able to easily transfer over to you is that a opportunity in the future, some kind of clarity in that relationship would be helpful.
Eric D. Long: Sure, there are different components within the Southwestern, you’ve got the E&P side, you’ve got the Mid-Stream organization, as you’re aware they’ve recently monetized the Angelina Gathering System, so we have multiple touch points in the organization and we have very good forward visibility in light of our long-term relationship with them. So I think if Southwestern continues to grow and promulgate in the Marcellus holdings will be right alongside of them to back their play.
Unidentified Analyst: Okay, and that kind of gets me to my final question is, it seems that and correct me if I’m wrong that customer relationships within the space are very sticky and that usually producers or customers don’t diversify contract compression providers within particular basin. Assuming that’s the case within the Marcellus it seems like you kind of have you know big list of the Who’s Who at this point is there much more many more big logos that you can add or at this point is it really just, you have your horses in the race and you’re going to grow alongside them?
Eric D. Long: Compression continues to grow and evolve; we’re continuing to see a greater and greater move toward the outsourcing component. As you’re aware capital is crisis right now folks who two years ago had access on limited capital kind of reoriented their internal focus to some degree, compression is our core competency and there are folks who are coming to the realization that maybe it’s not their core competency, this is pretty big universe out there and there are many customers that both E&Ps and Mid-Streams that could be perspective clients for USA. They are not correctly USA customers or we’re not dealing with them in a material way. As we continue to move up in the size and capabilities of larger horsepower, station services fully integrated turnkey applications we think we can expand both our geographic footprint that we can increase our customer footprint and frankly do some more with some of our existing customers. Frankly, we have more opportunities than we can prudently continue to grow at the current time. So I think we’re in a unique situation where opportunity long and we want to properly manage both our leveraging coverage at this part of the cycle and that you know we will capitalize on the most profitable opportunities and frankly, I think there is more than enough for all of us in the sector to go around right now.
Unidentified Analyst: Great, thanks a lot, Eric and congratulations again. That’s it from me.
Eric D. Long: Thank you sir.
Operator: And we’ll go next to Richard Verdi of Ladenburg.
Richard A. Verdi: Hi, good morning guys and thanks for taking my call and excellent quarter. Quick question for you guys and following up on the first - Matt maybe you could help me out here with the horsepower that’s not contracted here that we are looking for in the back half of 2015, can you give us any color on potential timing of that for modeling purposes, do you think it might be balanced out more in Q3 versus Q4 or vice versa just a little bit of - would be really helpful.
Matthew C. Liuzzi: Sure, Rich it will be weighted more towards Q3 again this was, I think consistent with how we end the year which is more of a front end weighted deployment and delivery schedule and so right now of that, the remaining capital the majority of it will be in the third quarter.
Richard A. Verdi: Okay, great and just one last question for you guys most of my question have been addressed already, a notes far out but 2016 CapEx I think it about horsepower any kind of color you can give us there for next year, and just thinking high level.
Eric D. Long: Rich part of this is, I don’t know how good your crystal ball is, but my crystal ball right now what is going on in the Mid-Eastern with OPEC and commodity pricing, the dollar all the things are revolving into it, I don’t think we have a lot of clarity. We do have demand signals with specific customers on some of the larger horsepower infrastructure applications, but it’s too early to tell that is why we came into 2015 with an initial range of guidance, we indicated as we got additional clarity, we would update and obviously we’ve updated and revised upward our guidance for the back half of this year. So I think at this stage, we’re just going to be cautiously waiting and seeing what happens we got plenty of time, lead times to deliver equipment from the fabrications from Caterpillar and Ariel have come in, a year 18 months ago we had about a year lead time to source equipment, that period has shortened. So we have the flexibility and the luxury to kind of watch away and we will respond to the market based on what we see here in the back half of the year.
Richard A. Verdi: Okay, great. All right. Thanks guys and great quarter again.
Eric D. Long: Thank you sir, thanks Rich.
Operator: [Operator Instructions] And we’ll go next to John [indiscernible] of Washington Securities.
Richard A. Verdi: Thanks very much and congratulations in a great quarter. I have one question, are you still happy with your corporate structures of partnership?
Eric D. Long: When you look John how we structured USA Compression, I think we’re a classic fee based long-term contracted ideal candidate for an MLP, we are a story as I mentioned earlier stability in growth. We have methodically been able to increase our distributions, we are demand driven rather than kind of commodity price driven and I think when you look around. We are not a variable rate MLP, we’re not an E&P kind of MLP, we are frankly a gathering processing classic Mid-Stream oriented type of vehicle. So we think that the structure works, I think the baby has been tossed out with bath water, so to speak right now and there has been an over correction and we will just kind of watch and wait a little bit and over time we think things will self correct and we will get back in the fair way again.
Richard A. Verdi: Great, thank you. End of Q&A
Operator: And this concludes today’s question-and-answer session. I will now turn the call back to Mr. Eric Long for any additional or closing remarks.
Eric D. Long: And we appreciate everybody’s continued interest in USA Compression and we look forward to hosting the call here in another quarter. Thank you.
Operator: And this does conclude today’s conference. We thank you for your participation. You may now disconnect.